Operator: Greetings, and welcome to the Ball Corporation First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brandon Potthoff, Director of Investor Relations. Thank you, sir. You may begin.
Brandon Potthoff: Thank you, Christine. Good morning, everyone. This is Ball Corporation's conference call regarding the company's first quarter 2025 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. We assume no obligation to update any forward-looking statements made today. Some factors that could cause the results or outcomes to differ are described in the company's latest Form 10-K, our most recent earnings release and Form 8-K and other company SEC filings as well as company news releases. If you do not already have the earnings release, it is available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found in the notes section of today's earnings release. In addition, the release includes a summary of non-comparable items as well as a reconciliation comparable net earnings and diluted earnings per share calculations. References to net sales and comparable operating earnings in today's release and call do not include the company's former Aerospace business. Prior year-to-date net earnings attributable to the corporation and comparable net earnings do include the performance of the company's former Aerospace business through the sale date of February 16, 2024. I would now like to turn the call over to our CEO, Dan Fisher.
Dan Fisher: Thank you, Brandon. Today, I'm joined on our call by Howard Yu, EVP and CFO. I will provide some brief introductory remarks. Howard will discuss first quarter financial performance and key metrics for 2025 and then we will finish it up with closing comments and Q&A. I want to take a minute and highlight the amazing work our employees and teams have done to give back to their communities. April was our global volunteer month at Ball and our employees volunteered more than 640 hours of their time across 11 countries, working to create a positive impact in the communities where we live and work. I want to thank all of our employees who devoted time in April to uplifting our communities. You truly represent our values of we care, we work and we win. Turning to business performance, we delivered strong first quarter results and returned $708 million to shareholders via share repurchases and dividend through today's call. This performance reemphasizes our opportunity to deliver record adjusted free cash flow and comparable diluted earnings per share in 2025. Aluminum packaging continues to outperform other substrates across the globe, demonstrating the resilient and defensive nature of our global business. While we remain mindful of ongoing uncertainties related to tariffs and consumer pressures, particularly in the U.S., we are confident in our ability to proactively manage these challenges and sustain our positive momentum throughout the year to deliver 11% to 14% comparable diluted EPS growth. In EMEA, First Quarter volume remained strong as our customers continued to move their package mix to aluminum cans. In South America, volume growth came in slightly ahead of our expectations driven by positive performance across each geography in which we operate. In North America, volume returned to growth despite a tough comp and economic pressure on the end consumer. Our regional performance culminated in Ball's global shipments being up 2.6% year over year in the first quarter of 2025. Looking to the rest of the year, our teams are focused on managing uncertainty, while leveraging the inherent resilient and defensiveness of our global portfolio. We remain laser focused on achieving our stated goal of 11% to 14% comparable diluted earnings per share growth in 2025 and are confident in our proven ability to execute through complexity and deliver value back to shareholders. We continue to anticipate global volume growth in the 2% to 3% range and expect all of our businesses to perform in line with or ahead of the targets outlined at our 2024 investor day. This reflects the strength of underlying global demand, the durability of our customer relationships, and the operational consistency of our teams across markets. In EMEA, we continue to expect mid-single digit volume growth in 2025. As the competitive advantage of aluminum packaging and low can penetration rates continue to drive share gains across the region. In South America, recovery in Argentina and Chile, coupled with anticipated growth in Brazil, is expected to drive volume growth above our 4% to 6% long-term range in 2025. In our North American business, higher than expected volume growth across non-alcoholic categories more than offset ongoing pressures in mass beer. We remain confident in our ability to deliver volume growth in line with or slightly above the market in 2025. While we are closely monitoring end consumer health, we believe the defensive nature of our portfolio combined with our strong customer alignment positions us well to navigate a potential economic slowdown. Lastly, on cups, during the first quarter, we announced the formation of Oasis Venture Holdings, a strategic partnership, which consists of the aluminum cup business, including its commercial, supply chain and manufacturing teams and the plant in Rome, Georgia. We are the minority partner and are excited about the long-term potential for the business under this new structure. With that, I'll turn it over to Howard to talk about first quarter 2025 results as well as key metrics for 2025.
Howard Yu: Thank you, Dan. Starting with our results, 2025 first quarter comparable diluted earnings per share was $0.76 versus $0.68 in the first quarter of 2024, an increase of 12%. First quarter comparable net earnings of $216 million were driven by higher volumes, lower interest expense and cost management initiatives, which were able to nearly offset the earnings headwind from the sale of our Aerospace business and lower interest income. In North and Central America, stronger than expected volume performance drove 2% increase in comparable operating earnings on a challenging comp. Our team executed exceptionally well, successfully improving operational efficiencies, effectively managing the impact of the 232 tariffs and mitigating risk despite a volatile environment. Volume growth was largely driven by strength in energy drinks and non-alcoholic beverages. While we believe there may have been some modest pull forward of orders ahead of anticipated tariffs, we assess this impact as minimal. We remain attentive to the ongoing geopolitical landscape and tariff developments and are actively managing these dynamics. In EMEA, first quarter segment volume remained robust and segment comparable operating earnings increased 13%. Demand trends continue to be favorable, reinforcing our confidence in achieving significant year-over-year comparable operating earnings growth in 2025, driven by ongoing operational efficiency improvements and sustained volume growth. In South America, segment comparable operating earnings increased 25% supported by strong volume performance across all markets. We are encouraged by consumer conditions in Argentina, which continue to exhibit signs of recovery and the Brazilian market performed in line with our initial expectations, reflecting a stable operating environment. Our personal and home care business previously referred to as aerosol delivered mid-single digit volume growth in the first quarter. We remain confident in the strength of this business and continue to expect volume growth to exceed our long-term range in 2025. Moving on to additional key financial metrics and goals for 2025. We anticipate year end 2025 net debt to comparable EBITDA to be 2.75x. We will repurchase at least $1.3 billion worth of shares in 2025 and will remain aggressive in repurchasing our stock at what we believe is very attractive pricing. Through today's call, we have repurchased $651 million worth of shares year-to-date. 2025 CapEx is expected to be slightly below D&A in the range of $600 million We anticipate being able to deliver on our target of comparable net earnings equal to adjusted free cash flow in 2025. Relative to the estimated tax payment due to Aerospace sale, we expect the remaining portion to be paid in 2025. Our 2025 full year effective tax rate on comparable earnings is expected to be slightly above 22%, largely driven by lower year-over-year tax credits. Full year 2025 interest expense is expected to be in the range of $280 million. Full year 2025 reported adjusted corporate undistributed costs recorded in other non-reportable are expected to be in the range of $150 million. And last week, Ball’s Board declared our quarterly cash dividend. Looking forward, we remain highly focused on operational excellence and disciplined cost management and driving efficiency and productivity across the organization. At the same time, we are closely monitoring volatility in emerging markets and broader geopolitical developments. Thanks to the resilient and defensive nature of our business, combined with our proactive steps we have taken to strengthen our balance sheet, we are well positioned to navigate external uncertainty. With the clear financial runway and strong operational foundation, we are activating initiatives that we believe will enable consistent high-quality results and compounding shareholder returns over the long term. With that, I'll turn it back to Dan.
Dan Fisher: Thanks, Howard. Our business is performing well and we have taken meaningful steps to future proof our operations through long-term contract renewals, strategic deleveraging and footprint optimization. Backed by the strength of our portfolio and the dedication of our teams, we are confident in our ability to achieve our financial goals of delivering 11% to 14% comparable EPS growth, generating adjusted free cash flow in line with comparable net earnings and returning substantial value to shareholders through large scale share repurchases and dividends in 2025. As we focus on execution in 2025, we have the opportunity to deliver record adjusted free cash flow and comparable diluted earnings per share. While external volatility has increased since we last spoke in February, particularly around tariffs and geopolitical dynamics, the resilience of our global footprint and our defensive business model give us confidence in our ability to navigate a wide range of outcomes. We remain committed to meeting our customers where they are, providing affordable, innovative aluminum packaging solutions that support a world free from waste. Creating shareholder value remains our top priority. With the combination of consistent operational performance, disciplined financial management and significant share repurchase alongside dividends, we are confident we can drive meaningful compounding returns for shareholders in 2025 and beyond. We appreciate the work being done across the organization and extend our well wishes to our employees, customers, suppliers, stakeholders and everyone listening today. Thank you. And with that, Christine, we're ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ghansham Panjabi with Baird. Please proceed with your question.
Ghansham Panjabi: Hey, guys. Good morning.
Dan Fisher: Hey, good morning.
Ghansham Panjabi: Good morning, Dan and Howard. I guess first off in Europe and the consistency of volume growth there, obviously outperforming pretty much every other geography on the planet pretty consistently over time. Can you just sort of frame for us your supply position there? Where are you from a utilization standpoint? And where do you think the next leg of incremental growth will come from? And then separate to that, was there any sort of pull forward that you could think of as it relates to that region specific to cross-border shipments from Europe to the U.S. ahead of tariffs?
Dan Fisher: The second question first, I would say no minimal, Ghansham. How to characterize Europe for us, obviously we made a couple of pretty significant investments a couple of years ago, built a big facility in The Czech Republic, built a big one an hour outside of London. In both cases now we've got third lines moving to invest the fourth lines in both. So we're growing at a nice rate. We've benefited from having made those investments and so we're able to scale those up. We will be getting -- it's getting tight across Europe. We're going to have a little bit more out of pattern freight in peak season. You know this industry well, given such a hot start we had and such a hot start everyone had. So we're in a good spot. We like the trajectory of the back half of the year. We think there'll be continued growth going into '26 and '27 and we'll be looking to do some things hopefully incremental, nothing significant and everything has been contemplated in terms of our CapEx to D&A envelope. So, probably a higher priority on Europe for some incremental investment, nothing significant, certainly cautious to make sure that supply demand stays in balance and that's a marketplace where the labor laws, you got to get it right, you have to maintain real disciplined structure there.
Ghansham Panjabi: Okay, got it. And then as it relates to North America, you seem a little bit more, or at least you have confidence as it relates to your growth relative to the industry for this year. Going back to the analyst meeting from June of last year, all the self-improvement initiatives you outlined there to boost etc. Can you just give us a sense as to where those are tracking relative to your initial plan and how is that starting to reshape your sort of baseline as to operating leverage as volumes do start to come back this year in that region?
Dan Fisher: Yes, I don't expect margin expansion. Our ability to maintain what we have, I think is probably a better characterization of North America. And 2023 and 2024 a lot of heavy lifting in the NCA region, where we are starting to see some improvements are in Europe and in South America in terms of some of the lean initiatives that are rolled out. Obviously, we had to do things quickly from a fixed cost standpoint in North America and we're further along in the journey in North America in our Ball operating excellence in our Ball business system. So you should see continued improvement and I think with the efficiency gains in places like Europe that may enable us to spend less capital, but to step into the growth moving forward.
Ghansham Panjabi: Perfect. Thank you, Dan.
Dan Fisher: Thank you.
Operator: Our next question comes from the line of George Staphos with Bank of America. Please proceed with your question. Mr. Staphos, your line is live. Perhaps you have yourself on mute. Our next question comes from the line of Stefan Diaz with Morgan Stanley. Please proceed with your question.
Stefan Diaz: Hi, Dan, Howard, Brandon. Thanks for taking my questions. Maybe just to begin, if you could just give us a little more details on how you're thinking about tariffs and the potential impact on demand? And maybe if you could particularly touch on your Mexico beer exposure and maybe what are you hearing from your customers there, just given the extension of tariffs to cover the value of beer cans?
Dan Fisher: Yes, maybe I'll start more broadly with North America. The 232 that was rolled out mid-March excuse me that's intact, not a lot's changed. I think that's been well publicized. Think about that in terms of $0.075 to $0.01 to can impact. That's really negligible in the grand scheme of economics. The [indiscernible] has come off, so I think the total deliver economics, it's really not much. One particular customer that I think you mentioned that's in our portfolio, they are compliant with the MCA. So yes, they have the 232, but they're not experiencing much of any tariff impact coming across the border. And so for us right now, strong start to the year, still continuing to see a -- I've got a very constructive outlook on North America, albeit uncertain. Demand relative to the Chinese tariff impacts is the one thing that is probably not agnostic to -- it's consistent across every industry. So that's the one we're looking at, but we haven't seen it. We haven't seen any different behavior from our customers. We haven't seen any forecast change. I think the only thing that we're keeping our eye on kind of relative to the segment that you identified is there's certainly been ongoing challenges for brands or categories that are attached more broadly to the Hispanic customer, because they are not as visible commercially right now for a million reasons and some of them pretty political. So we're watching that, but even with that, that's been fairly persistent here throughout the first quarter and hasn't impacted our volumes to a degree in which we would alter our outlook for the year. So hopefully that gives you a little bit more context in how we're seeing it.
Stefan Diaz: Yes, yes, no, that's very helpful and nice to hear that you're not really seeing an impact to your volumes from that so far. Maybe just sticking with North America, I understand you have less exposure versus peers to non-alcoholic beverages, but how are you thinking about the potential cuts to SNAP? And how does this come up in conversations with your customers at all? And if it has, what are they saying about it?
Dan Fisher: Yes, on the non-alcoholic side of things, they're constantly reformulating those offerings to make sure that it finds a home, right, with the varying dietary concerns and or I guess the chemical challenges facing things like GLP etc. So I think they are reformulating products, they are launching new products, all of those seem to be meeting the customer where they're at. I'm not overly concerned with some of the things you're talking about, the Make America Healthy initiatives. Yes, I think it's still going to boil down to economics and right now I think most of the large CPG customers that are in those areas are reformulating and innovating in an interesting way, in a faster market way that is enabling and we continue to grow.
Stefan Diaz: Thanks, Dan. I'll turn it over.
Dan Fisher: Thank you.
Operator: Our next question comes from the line of Anthony Pettinari with Citi. Please proceed with your question.
Anthony Pettinari: Good morning.
Dan Fisher: Good morning.
Anthony Pettinari: Dan, hey, with volumes, I think a little bit better than expected, I'm wondering if you could kind of characterize the promotional environment in your major markets as we get closer to the summer. Do you think customer promotions have been more successful than you would have thought or are they moving the needle on volumes or are there particular sizes or formats that are winning in the market or just any color there?
Dan Fisher: Yes, in North America particularly, right? Yes. There have been some -- if you look at the Energy segment, there have been more innovation in and around flavor profiles and a more deliberate effort to price things to move them. That's been much more constructive and you're seeing that in the Energy segment returning to mid-single digit, high-single digit growth. We had had enough conversations with folks in that segment to know they didn't like where they were back in the fourth quarter and second half of the year in terms of the growth trend. So I think they made a conscious effort there and they're seeing that. Non-alcoholic in general, I think there's been enough innovation in that segment along with again more constructive pricing to drive volume. You haven't seen that on the beer side, but I also kind of left '24 headed into '25 and are thinking and are planning there will be much more conscious effort in peak season to see some activity in and around pricing to drive volume. So, we're still anticipating some of that, but writ large and in my comments, non-alcoholics ahead of where we thought even with some of the planned innovations and the plan thinking to push volume and beer is a little behind. So I think more of the same and non-alcoholic and a little bit more aggressive pricing to push volume and beer and that sets up for a pretty healthy year for the industry.
Anthony Pettinari: Got it, got it. That's very helpful. And then maybe just following up on that, I mean on the last earnings call you announced the purchase of Florida Can. Can you give us sort of an update on that and especially just how that asset kind of fits into what seems like a little bit of a stronger North American market?
Dan Fisher: Yes. We'll need that. We'll need the capacity. There's a couple of can sizes that are getting real tight. Unfortunately, that asset does have those capabilities. We'll see more of that impact moving into peak season. You see less of it now, right? Obviously, we're still building inventory getting ready for peak season. So you haven't needed to spot volume opportunity or the additional incremental growth that that presents, but you'll start to lean into it. And as you said, getting off to a good industry start means we'll need that capacity sooner rather than later. It's ready to go. The assets are running. It's fully staffed. It's been integrated nicely into our system. So now it's to your lane there, yes, I mean we're looking forward to using that and running it full out here this summer.
Anthony Pettinari: Okay, that's very helpful. I'll turn it over.
Operator: Our next question comes from the line of Phil Ng with Jefferies. Please proceed with your question.
Phil Ng: Hey, guys. Strong quarter and start to the year, so congrats. Volumes in North America was pretty strong, especially a tough comp from last year. Curious, how's the summer season been kind of shaping up in North America, order trends in April, May? The reason why I ask is because the brewers have still been calling pretty soft trends in North America and I think you called out some modest perhaps pre buy. So does that kind of soften your demand trajectory, call it 2Q and perhaps the back half of the year?
Dan Fisher: We're still seeing really positive constructive start here to April, I guess we're in May now. We didn't see much pre buy just to be clear, maybe others called out a bit of that from the beer side, we didn't see that. What I'm hopeful for and it kind of builds off my last question is we started we entered 2025 with pretty strong belief that non-alcoholic segment energy in particular, they were going to innovate and they were going to go for volume. They were going to kind of moderate pricing in line with CPI, maybe even take a little less than that and go back and get that category to growth and I think they've done a nice job at the start industry wide. The rest of the non-alcohol category has innovated. They've done nice as well. They've been really constructive on their pricing to push volume, meet the customer where they are from an affordability lens. And then beer, I still think there's going to be significant effort here in peak season to moderate price levels so they can move product. I don't think anybody is happy where mass beer is here through the first quarter. And I'm not surprised, they're going to use the affordability lens and push that. And so more to come here in peak season, I'm cautiously optimistic if they can do that, we'll be a little ahead on the non-alcohol and if that can catch up to be remotely in line with what we thought at the beginning of the year, I think it bodes for a really nice industry performance here over the back half of the year.
Phil Ng: And is it realistic to assume low-single digits in North America in the next few quarters this year still?
Dan Fisher: Yes, that's what we're -- we thought we'd do a little better kind of for us in particular, we thought we'd do a little better kind of Q2, Q3 versus prior year. And we got out a little ahead in Q1. So if that can maintain persist, I think you're in that one to three range for industry and I believe we'll be right there. Obviously, we have a little bit more weight on beer, but we also have a little more weight on Energy. So those two things have netted out to be slightly more positive than we anticipated at this point in the year.
Phil Ng: That's great. And then Europe certainly sounds like it's getting tighter. Is that an opportunity for pricing and as the kind of next contract kind of set up? And then similarly in North America maybe we're a little further away, but I think two of your competitors called out North America potentially getting tightening as well, especially in the summer selling season. Is that an opportunity for you perhaps to pick up some share because I suspect you among your bigger competitors in North America probably have a little more spare capacity. So, is that an opportunity during the peak summer months?
Dan Fisher: Yes. Let me start with Europe First. Europe is -- when you look at the construction of the margin profile in Europe, everybody makes good gross profit. I mean, it's the best in the world. So pricing is not really the opportunity set and then of course it's not Europe, right, it's the U.K., it's Spain, it's there's a little bit more I think there's balance and there's solid competition in each one of these siloed regions if you will, sub regions within Europe. So we'd much rather prefer growth on the existing margin in Europe and we'll try to make it up through efficiency gains. If we're going to expand margins, it will be rolling out kind of all business systems and becoming better operators throughout the throughout Pan Europe. In North America, we're pretty tight. So we took out an awful lot of capacity. We did add the Florida Can assets. We do have some 12-ounce capacity still hungover from kind of the Bud Light Challenge if you will, but not a lot. We've tightened our system and it's reflected in our current margin profile. So I would say we've got opportunity to grow at the rates we've outlined without adding capital. Obviously, we're going to put the new facility in the Northwest that should free up capacity in the Southwest. So, we've contemplated the next two to three years having what we need in order to step into the growth algorithm we laid out at Investor Day last year, but there's not a ton of upside, maybe some spot pricing opportunities, maybe some spot market opportunities, having the right mix, having the right can size, those things could present opportunities for us, but not a bunch of excess capacity to step into.
Phil Ng: Okay, great color. Really appreciate it.
Operator: Our next question comes from the line of Edlain Rodriguez with Mizuho. Please proceed with your question.
Edlain Rodriguez: Thank you. Good morning, everyone. I mean, Dan, a quick one. So you mentioned the 11%, fourteen % EPS growth for this year. Can you get there if volume falls short because of tariffs or are there other levers you can pull to get to that growth number?
Dan Fisher: It's a great question. I guess how far will volume fall, I guess would be the question. We're feeling really good about the low end based on what we see today. Here's how we're looking at tariffs right now. Very constructive start to the year. We know what 232 is. Our customers know what 232 is. Our suppliers know. We're managing that. The wild card will be the ongoing shock and awe strategy, how quickly does that translate into real identifiable trade deals. I think once we see one or two trade deals show up, it starts to really enable us to frame these scenarios and work a problem set that's identifiable. So, I'm hopeful that a couple of things are going to break loose in the next 30 to 60 days that we're going to know Japan, maybe Korea, Vietnam, things like that. You raised a good point on China that could be challenging, ongoing, but I think we're optimistic that we're going to start to see get some tea leaves here about what's really going to be in front of us and then we've done a pretty good job with some significant challenges here over the last two to three years to manage those in a real constructive manner. And so I think that's right in front of us. So I think this uncertainty dissipates. And it's uncertain today, but I think that window closes. And then the reality is we haven't been able to talk about this last couple of years, but this is a aluminum packaging. If people are going to spend less going out, if people are going to spend less traveling, etcetera, we typically do well. We're resilient in a recession. We're not inflationary resistant, but we're resilient in a recession. If that's where we're headed, depending on how steep it is, I think the range still holds, obviously higher to get to the top end. But then the counter or the positives would be a weaker dollar. Our fastest growing business or most profitable business is Europe. There's some currency tailwinds there. So I think as we sit here today that's exactly the conversation I had with the Board last week. It's like I'm feeling like we're in this range and we can navigate it. Yes, I've got a lot of belief in the performance of the team after the last couple of years and what they can do. If we can have an identifiable problem, we typically sprint after it and solve it pretty effectively.
Edlain Rodriguez: Okay, great. Thank you very much.
Operator: Our next question comes from the line of Josh Spector with UBS. Please proceed with your question.
Josh Spector: I wanted to follow-up on the North and Central America segment. You had, I mean, low single-digit volume growth and you had kind of similar, little bit lower EBIT growth. I know last year there was some pull forward. So really just trying to think about the underlying EBIT growth that you had in that segment and you pretty consistently have talked about 2% to 3% volume growth in that segment for the rest of the year. What's the type of EBIT leverage we should expect there to go forward? Thanks.
Dan Fisher: Yes, I think it will be closely -- we think about the two in one ratio is enterprise-wide less region-by-region in terms of that leverage factor. You can have mix impacts quarter-to-quarter, you can have a number of other things manifest as you know. So I think we'll be kind of holding our earnings profile margin slight uptick in total comp dollars and some of this will just be mix related for the back half of the year on how much we go up.
Josh Spector: Okay. Thank you.
Operator: Our next question comes from the line of George Staphos with Bank of America. Please proceed with your question.
George Staphos: Hi, everyone. Good morning. Can you hear me?
Dan Fisher: Hi, George. Yes, we thought we lost it there for a second, buddy.
George Staphos: Yes. It happens. It happens. I appreciate the time and the details. So three questions. One, Dan, you mentioned earlier in the call, you're activating initiatives and I just wanted to sort of peer under the hood there if there's anything specific to that or if that's just a continuation of Ball Business Systems and the effect it's having on operating leverage. Secondly, you talk about you don't think there's been much pre buy and certainly we take that face value, but where you sit, where Howard sits, how do you ever know how much pre buying may happen unless it's after the fact? So like how do you know to be confident about it being a minimal effect? And then last question, I'll turn it over. This is my phrasing not yours, but you seem cautiously optimistic about your beer customers being a bit more, I don't know what the right term would be, but more promotional getting price points optimized. What gives you the comfort, the confidence about that heading into the season realizing at the end of the day you're their supplier and they're ultimately going to market how they market? Thank you and good luck in the quarter.
Dan Fisher: Right. So great question on the pre buy. No, we can't slice and dice this info. It's it would be conversations. It would be looking at order patterns versus scanner data, trying to factor out anomalies. I would say there's more thought than licking the finger and putting it in the air, but I think you're on to something. It could be I mean it could be a couple of hundred million George. We think it's somewhere in that kind of $100 million to $200 million and there was a little bit of pull forward last year as well. So minimally on a comp year-over-year, not a lot of delta, but that's probably the extent of the analysis. It's a good call out. We know that some of our customers too that were shipping over the border because their volumes were already dissipating in the fourth quarter and the beginning of the first quarter. They were pretty full up on inventory. So there wasn't an ability to pull forward as much. I would have expected to see it from a couple of customers that I had my eyes out. We were asking those questions here over the last three to four weeks, but they were their volumes were already coming off, right. So they didn't have a whole lot of warehouse capacity or distributor capacity to kind of stuff the channel further. Those are the factors of the nuance that gets me to this. And we're not with everybody. And so there could very well be some pull forward in the overall market place. But from what we saw in our numbers, not a great deal to speak to at this point.
George Staphos: Okay.
Dan Fisher: And then just honing in on similar, we're in front of our customers quite a bit. We have a lot of conversations. I don't want to give too much away, but I do think a couple large brewers, I think they've even said in some of their investor discussions like, hey, we want a more concentrated effort when people are going to be attending barbecues and such and we'd rather spend our marketing dollars there. Now, in fairness, that doesn't mean there's going to be affordability price lens, but typically when I hear that a more concentrated effort, there is some combination of more public facing marketing and a base effort to move volume during that period. So that's where it's coming from. Those are the things I've heard fairly consistently and that makes sense. I don't know why you're trying to push product in dry January. Maybe there's something there. Maybe there's something there. There was one other question that I think you wanted me to hit on, sorry.
George Staphos: You said during your remarks that you're activating initiatives and I just wanted to probe exactly kind of what that was referring to. Is that just the benefits of what you've been doing with Ball Business Systems or is there something specific there whatever you could share? Thank you and good luck in the quarter.
Dan Fisher: Thank you, George. Yes, nothing more than just ongoing rolling it out. It's going to take us 18 to 24 months to roll it out across every plant. I think we're about 2/3rd of the way there at this point. We started with safety, quality. There were some obvious things we did from a capacity standpoint but we're seeing significant improvements in safety, significant improvements in quality. We had a number of record production weeks and days during the first quarter. So we get this rolled out over our entire infrastructure and facilities. I think you'll see the consistency of performance and a lot of positive knock-on effects. So we're just leaning into that more fully. It's built into a lot of our thinking already. So I wouldn't say there's anything incremental, but steady progress on kind of what we described at our Investor Day a year ago.
George Staphos: Thank you very much, Dan.
Operator: Our next question comes from the line of Jeffrey Zekauskas with J.P. Morgan. Please proceed with your question.
Jeffrey Zekauskas: Thanks very much. I think in capital expenditures in the quarter you spent $80 million. Can you get all the way to $600 million. Why was the spending so low in the beginning of the year and why should it be much higher later in the year?
Howard Yu: Yes. So, Jeff, I think with regards to the Northwest facility that Dan had specifically talked about, I think that we're moving slower there. And so you will see that ramp up in the tail end of this year. And so what we said is that $600 million is probably the high end of that in aggregate. And we'll look at things and depending on how things shape up throughout the year, we may moderate. But at this position, we see the funnel for CapEx and what we want to do including some of the maintenance work that's required as well. And so, we'll lean into that a little bit more as the year goes.
Jeffrey Zekauskas: Okay. And secondly, your inventories jumped from the fourth quarter to the first quarter by about 10%. Is that just a seasonal number or is there something else going on?
Dan Fisher: Yes, it's just a seasonal number. It's a good question. It's in line with what we expected to start the year. The inventories were lower. At the end of the fourth quarter, volumes were so soft at the end of the year that we've rebuilt and we're seeing the strength in across all the markets in terms of volumetric outlook. So I think we're positioned right, it's not heavy, probably had some benefit in terms of some absorption relative to the prior year, but kind of in line with what we expected nothing out of the ordinary.
Jeffrey Zekauskas: Great. Thank you very much.
Operator: Our next question comes from the line of Michael Roxland with Truist. Please proceed with your question.
Michael Roxland: Hi, guys. Thanks for taking my questions. This is Niko Pacini on for Mike.
Dan Fisher: Hi, Niko.
Michael Roxland: Just first off, moving back to maybe margins in North and Central America. I think EBITDA margins are around like 17% right now versus mid-teens maybe a few years ago. At the same time, CPGs are being squeezed upon some continued volume weakness. And then on top of all that, you had some favorable pricing a few years ago when supply demand was tighter. Can you just comment on maybe your expectations for margin sustainability going forward in light of that and as contract negotiations come up in the next few years?
Dan Fisher: Yes, we're at a kind of a high-water mark, in our North America margins. To sustain these, given the backdrop that you described, I think every one of our CPG customers is talking about affordability and an affordability lens. We're already meeting them in long-term planning sessions, joint planning sessions to figure out more efficient routes to market, more efficient ways to deliver the product. We're going to have to do quite a bit to help our customers make their margins and push product and advertise and promote. So we're going to have to play a role in that for sure moving forward. But I think what we've been able to do thus far is kind of over deliver on focusing on our core, the Ball Business System, the efficiency gains we're seeing, more constructive footprint. So all of those are playing a role. I would suggest that, yes, volumes are to come by right and it's probably coming at a different price point for our customers. And I think if we're the partners that we ascribe to be then we'll participate in that moving forward and that's why I've been pretty consistent on can we maintain these margins and that's certainly our goal.
Michael Roxland: Perfect, understood, very helpful. Just follow-up there, I think some of your peers have been speaking about mix -- specialty mix in North America versus standard cans. Just wondering what you are seeing in specialty cans and if you are adjusting your mix at all and if there is any margin impact there?
Dan Fisher: There is a little bit of I think 12 silks growing at a very healthy clip. So depending on whether you call that special or not, I think that would be nomenclature definition, but that will play a role. And then the most affordable package when you start thinking about how some of the beer folks are playing, precisely to your previous question, 12-ounce cans, you can run a lot of them, you can fill them quick, you can package them in cubes very nicely. So I think 12 standard cans in this environment may play a bigger role. And so I think that affordability lens. There's ways to play it in terms of efficiencies throughout the system. That's one. Certainly, on the beer side, I think you're seeing more and more of that play out. But still specialty category 7.5 ounces growing very nicely, 12 silks growing very nicely, 24 ounces is continuing to grow. So specialty continues to grow, but I think depending on what segment, what brand you're looking at, what channel playing this affordability lens, I think different pack mixes and different size, different price points are important as well.
Michael Roxland: Got it. Thank you very much. I'll turn it over.
Operator: Our next question comes from the line of Chris Parkinson with Wolfe Research. Please proceed with your question.
Chris Parkinson: Great. Thank you so much. Can you just hit a little bit more on the trends that you're seeing in Latin America? Obviously, it's been a fairly volatile few years, but just how should the Street generally be thinking about not only in the second half of '25, but into '26, '27 of both the Brazilian and it seems like Argentina has calmed down a bit? Thank you so much.
Dan Fisher: Sure. Yes, Chris, we entered the year Brazil was inflation was running a bit hot entering '25 and our belief was sort of 2% to 3% growth in Brazil was about right for the industry, seems to be playing out that way. We were a little under that in the first quarter because our partner down there didn't win in the marketplace. So mix played a role in that. But the rest of our portfolio, Chile, Paraguay, Peru, Argentina, all of those countries are recovering and all of them were up nicely. And so when I talk about getting to in excess of our long term 4% to 6% growth rates in that region, that's how we're going to get there in '25. And there should be a knock-on effect for some nice growth in line with our long-term goals for '26 as well. Getting out ahead of my skis in the '27, the contracts are all there, it's just going to be what's happening from a macro standpoint in South America, but we like the back half of '25 and '26 and the recovery of these countries that as you frame in your question were much softer the last 18 months.
Chris Parkinson: Got it. Thank you. And just as a quick follow-up, just turning over to Europe. Europe generally, I think it's been surprising in the demand side, obviously, there have also been some puts and takes. But just intermediate term, how should we be thinking about just the supply demand dynamics across the region and how are you personally thinking about that over the next year, year and a half or so? Thank you.
Dan Fisher: Yes, it presents more growth than North and Central America because the substrate shift away from glass. It presents close to the growth rates in South America, but of course off a bigger base. So the volume will be of a size and scale that will be bigger than South America. And capacity adds and you can even see it if you go back and look at what we did when we added facilities, we added one in the U.K., we added one in The Czech Republic. These are much friendlier labor markets and labor pools. And so I think you just have to be mindful of where you're building. It's harder to build in Europe, zoning, permitting, water, wastewater treatment, all of that. It takes longer and you have to be incredibly constructive about your views over the next 20 to 30 years. So there's always been a bit more discipline if you will of not betting on the come to some extent. And so I would expect the industry thinks that way as well. But I mean, I don't want to stem the growth. I think it's coming from a we're at the high 20% now of substrate mix. It should go to if it's anywhere like the rest of the world, it goes somewhere between the mid-40s and low 50s. So it's a decadal shift that we're experienced and undergoing in our customers whether they're non-alcohol, energy, alcohol, they also see the same thing. You just have to be very planful and methodical about putting capital in the ground there, probably much more so than anywhere else in the world.
Chris Parkinson: Thank you.
Operator: Our next question comes from the line of Arun Viswanathan with RBC. Please proceed with your question.
Arun Viswanathan: Great. Thanks for taking my questions. Congrats on the strong Q1 there. I guess, first off, just on the price mix, so you guys did a little bit better than what we thought in all three segments. And it looks like definitely price mix played a good role there. But would you say your outperformance from on the segment EBIT perspective was kind of equally split between slight volume outperformance, price mix and strong execution in running well or was one of those factors maybe more contributory and I guess do you expect that to continue?
Dan Fisher: Yes, I think pretty consistent operational performance. I wouldn't say there's much of an uplift there. So, we've been at this in North America for a couple of years now. Probably a little bit more on the mix side of things, more so than the volume, the volume is probably enough to offset to some extent the inflationary pressures that you're experiencing. And then favorable mix and a little bit of operational efficiency is how you would have flown through a bit more profit.
Arun Viswanathan: Okay, great. Thanks Dan. And then you mentioned that the Florida Can has been integrated and will be running full out. So I guess I'm just curious on the contracting and filling up that facility and maybe even your others in North America. How long are your contracts now? Are they still kind of maybe in the year or so level? What's your visibility on the volumes over the next few quarters? And I guess, do you look at sell through or do you look at kind of contracting to achieve that visibility? Is it necessary that you see a full sell through of cans that you sell to your customers or is it contracting that's more important or maybe both, I don't know?
Dan Fisher: Yes, contracting is the most important over the medium-term period and planning your assets, supply demand, scanner data coupled with inventory, getting a handle on your customers, their inventory, safety stock levels and also you're needing to know that from their relationship with their retailer. You have to have all those connected in order to really have an understanding of what the volume is in the quarter-to-quarter sense that I think you were pressing. And then the only other thing I would say just specific to Florida Can would be, I said we'll run it all out here during peak season. So that's good. Yes, there's still like there's still and there's definitely capacity in shoulder seasons in North America. Yes, so it will be product specific and it will be peak season. You'll be able to step into potentially some spot opportunities, but right now we're almost there and peak season, so we're running.
Arun Viswanathan: Okay, that sounds good. Right. And so just putting that together then, you still feel confident in your volume outlook for the full year in North and Central America. Is that correct?
Dan Fisher: I do for what's in front of us, yes.
Arun Viswanathan: Got it. Thanks.
Dan Fisher: Yes. You bet.
Operator: Thank you. We have reached the end of the question-and-answer session. Mr. Fisher, I'd like to turn the floor back over to you for closing comments.
Dan Fisher: Yes. I appreciate everyone's question and time and look forward to seeing you here and hopefully a more certain and less noisy second quarter update.
Operator: [Operator Closing Remarks].